Operator: Good morning, ladies and gentlemen, and welcome to the Arcosa, Inc., Second Quarter 2025 Earnings Conference Call. My name is Leo, and I will be your conference call coordinator today. As a reminder, today's call is being recorded. Now I would like to turn the call over to your host, Erin Drabek, Vice President of Investor Relations for Arcosa. Ms. Drabek, you may begin.
Erin Drabek: Good morning, everyone, and thank you for joining Arcosa's Second Quarter 2025 Earnings call. With me today are Antonio Carrillo, President and CEO; and Gail Peck, CFO. A question-and-answer session will follow their prepared remarks. A copy of the press release issued yesterday and the slide presentation for this morning's call are posted on our Investor Relations website, ir.arcosa.com. A replay of today's call will be available for the next 2 weeks. Instructions for accessing the replay number are included in the press release. A replay of the webcast will be available for 1 year on our website under the News and Events tab. Today's comments and presentation slides contain financial measures that have not been prepared in accordance with GAAP. Reconciliations of non-GAAP financial measures to the closest GAAP measure are included in the appendix of the slide presentation. In addition, today's conference call includes forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from such forward-looking statements. Please refer to the company's SEC filings for more information on these risks and uncertainties, including the press release we filed yesterday and our Form 10-Q expected to be filed later today. I would now like to turn the call over to Antonio.
Antonio Carrillo: Thank you, Erin. Good morning, everyone, and thank you for joining us today for a discussion of our second quarter results and the outlook for 2025. Let me start with a few key takeaways on Slide 4. We are pleased to report a record quarter that reflects the positive momentum for our strategic initiatives. Over the past year, we have taken deliberate actions to strengthen our growth businesses, streamlining the portfolio, reduce the cyclicality and expand margins. And the impact is clear in this quarter's results. It also bodes well for our future performance. As Arcosa continues to transform, we have expanded our disclosures around our key growth businesses, construction materials and utility-related structures, to help investors track our progress. Gail will provide more details in her remarks. Arcosa's revenue increased 18% and adjusted EBITDA grew 42% year-over-year, excluding the divested steel components business. We reported a record adjusted EBITDA margin of 20.9%, up 360 basis points. The successful integration of Stavola, which we acquired in October of 2024, has proven to be a significant driver of our growth, increasing consolidated revenues by 14% and expanding adjusted EBITDA margin by 250 basis points. Contribution from Stavola more than compensated for weather-related challenges in our organic legacy Construction Products business, which experienced above-average rainfall throughout the quarter. In the Aggregates business, we continued to realize strong pricing gains, which drove 15% increase in adjusted cash gross profit per ton. Additionally, our growth was augmented by a record quarter for Engineered Structures, fueled by strong execution in our utility and related structures business and raising demand tied to long-term grid expansion trends. Our fully ramped wind tower facility in Belen, New Mexico, is performing well and is margin accretive. Our barge business performed in line with expectations and order activities positive with orders received in the third quarter. Our hopper barge backlog now extends into the second quarter of 2026. Tank barge backlog extends into the fourth quarter of next year. We also delivered strong cash generation during the quarter, as we continue to prioritize deleveraging. Following the Stavola acquisition, we remain on track to reach our target leverage range of 2 to 2.5x within the next 3 quarters. Given healthy overall demand in our growth businesses, along with solid backlog visibility in our cyclical businesses, we're tightening our guidance range for full year 2025 revenues and adjusted EBITDA while maintaining the midpoint. As a reminder, the midpoint of our guidance implies a 30% growth in EBITDA for 2025, excluding the divested rail components business. To wrap up, we are pleased with our solid first half performance and the momentum we have as we move into the second half of the year. I will now turn the call over to Gail to discuss our second quarter segment results in more detail.
Gail M. Peck: Thank you, Antonio. Good morning, everyone. I'll start with Construction Products segment on Slide 10, which reported record revenues and segment adjusted EBITDA. Second quarter revenues increased 28%, and adjusted segment EBITDA increased 44%, driven by the accretive contribution from Stavola. Margin expanded 310 basis points to 28.3%. The acquisition integration is progressing very well, and Stavola's second quarter performance demonstrates its premium financial attributes, delivering a 39% adjusted EBITDA margin for the quarter, despite a significant increase in rainfall days in the New York, New Jersey MSA during the quarter compared to the prior year. On an organic basis, higher overall pricing was offset by reduced volumes and cost absorption, as wet weather impacted many of our key markets. While weather has been a headwind in the first 6 months of the year, we are pleased to see year-to-date organic adjusted EBITDA margin for the segment up slightly year-over-year. As Antonio mentioned, we are expanding our disclosures for our Aggregates business to better align with our construction materials peers. An additional table has been added to the earnings release that provides volumes, average selling price and unit profitability metrics for our largest construction materials business. As a reminder, last quarter, we began breaking out revenue for Aggregates, and we are pleased to increase transparency to highlight the quality of our platform. For our Aggregates business, freight-adjusted revenues increased 15% and adjusted cash gross profit increased 21% during the quarter, expanding margin by 250 basis points. Total volumes increased 6%, as the addition of Stavola more than offset lower organic volumes. On a unit basis, freight-adjusted average sales price per ton increased 8% to $17.83 and adjusted cash gross profit per ton increased 15% to $8.24. Organically, pricing was up mid-single digits, in line with expectations. Above average rainfall was a factor throughout the quarter in most of our markets, reducing the number of available workdays. With lower production volumes, our teams focused on maintenance and repair activities during the quarter, which reduced cost absorption, but should improve margin in the second half of the year. With more normalized weather patterns in July, we experienced strong double-digit volume growth in our Aggregates business supported by Stavola and solid organic growth, which underpins our confidence in the second half of the year. Turning to Specialty Materials and Asphalt. Revenues effectively doubled, primarily reflecting the Stavola acquisition. Stavola's Asphalt business performed well during the quarter with margins slightly ahead of expectations. In Specialty Materials, higher pricing was offset by lower volumes, resulting in flat adjusted EBITDA year-over-year. Finally, revenues for our trench shoring business were down due to lower volumes and a reduction in steel prices, which decreased average selling prices. Adjusted EBITDA declined in line with revenue, and margin was unchanged. Customer sentiment for our shoring business remains positive. Moving to Engineered Structures on Slide 11. As previously mentioned, we have now broken out revenues into 2 line items: Utility and Related Structures and Wind Towers. We provide backlog information on a stand-alone basis as well. In the second quarter, segment revenue increased 7% due to higher Wind Tower volumes from our New Mexico plant, which began delivering towers in the second quarter of last year and is now fully ramped to its planned production. Revenues from utility and related structures decreased 2%, in line with expectations. Significant double-digit volume growth in our steel utility poles and improved product mix were offset by lower steel prices, which reduced average pricing. Adjusted segment EBITDA increased 31%, and margin expanded 350 basis points to a record 18.7%. The earnings growth was about evenly split between Utility and Related Structures and Wind Towers. We ended the quarter with a record backlog for Utility and Related Structures of $450 million, up 9% from the start of the year, as we continue to see strong order activity. Our production visibility for this business is supported by our reported backlog as well as customer reservations for future capacity. For Wind Towers, we ended the quarter with backlog of almost $600 million, down 23% from the start of the year, as we continue to deliver on our existing orders. As a reminder, our backlog extends into 2028 at our New Mexico facility. Turning to Transportation Products on Slide 12. Revenues were up 18%, and adjusted segment EBITDA increased 10%, excluding steel components from the prior year period. The growth was driven by higher tank barge volumes, partially offset by lower hopper barge deliveries. Margin for the business declined 110 basis points, in line with expectations based on product mix. We expect to see sequential margin improvement in the second half. During the second quarter, barge orders totaled $33 million, primarily for hopper barges for 2025 delivery. We ended the quarter with backlog of $277 million, in line with the start of the year. Order activity increased subsequent to quarter end, and we have solidified our production plans for 2025. I'll now provide some comments on our cash flow performance and leverage position on Slide 13. Second quarter operating cash flow was $61 million, a sequential improvement from the first quarter's breakeven cash flow. Working capital was a $76 million use of cash, primarily driven by higher receivables due to the seasonal ramp in construction and increased inventory supporting our Utility Structures business. Looking at working capital days, we are pleased with the significant reduction from the second quarter last year. CapEx for the second quarter was $28 million, down $20 million from the prior period, as we are primarily investing in maintenance CapEx this year. For the full year, we now see CapEx of $145 million to $155 million, which lowers the top end by $10 million, reflecting the expected timing of investment. Free cash flow for the quarter was $39 million, we expect free cash flow to improve, as we move into the second half of the year. We continue to make progress deleveraging the balance sheet following the Stavola acquisition. Second quarter's 2.8x net debt to adjusted EBITDA is down over a 0.5 turn from when we closed the transaction last October due to strong earnings growth. With higher anticipated cash flow, we expect to begin reducing debt during the second half of the year. Our liquidity remains strong at $890 million, including full availability under our $700 million revolver, and we have no material near-term debt maturities. I will now turn the call over to Antonio for an update on our 2025 outlook.
Antonio Carrillo: Thank you, Gail. I will now turn to Slide 15 to review our guidance. Looking ahead, our growth businesses are firmly positioned in attractive end markets with solid demand fundamentals. Additionally, our cyclical businesses have strong backlog visibility. The steps we have taken to strategically transform our portfolio have created a more focused and resilient platform, which is positioned for consistent long-term growth. At the midpoint of our range, we anticipate revenues of $2.9 billion, up 17% year-to-year and adjusted EBITDA of $570 million, up 30%, excluding steel components from 2024 results. We expect the full year impact of acquisitions in 2025 to be supplemented by double-digit adjusted EBITDA growth from our legacy operations. In terms of tariffs, we have navigated this period of uncertainty very well. And with the current available information, we do not see any future material impacts. Please turn to Slide 16 for a discussion of our business outlook by segment. We expect Construction Products to perform well, driven by accretive contributions from Stavola. In our Aggregates business, we are increasing our full year pricing outlook to high single-digit appreciation, and we expect double- digit volume growth. With volumes up 2% for the first half of the year, we anticipate solid volume growth in the second half coming from both Stavola and organic volume improvements. When we look at the end market demand, infrastructure investment continues to serve as a growth catalyst. Public sector projects are progressing, while private markets show resilience in select industrial segments such as AI, data centers and warehouses. In contrast, single-family residential remains pressured, while demand for multifamily is improving. On balance, we are confident in the strong long-term prospects for our construction business despite recent weather-related softness. As Gail mentioned, when weather is dry, volumes appear to be solid, which we saw in the second half of June as well as in the month of July. This supports the outlook for high single-digit organic growth in the second half of the year for the Construction Products segment. Moving to Engineered Structures. We're benefiting from continued investment in the nation's aging infrastructure and the new era of growth for the U.S. power market due to increased electrification, data center growth and connecting renewable energy to the grid. Given strong momentum and a pickup in demand for transmission structures, we have begun converting our idle Illinois facility from Wind Towers to Utility Structures. We expect to be operational in the second half of 2026. Our record backlog, long-term power trends, increased utility CapEx and strategic network of alliance customers gives us confidence in the durability of demand. Ameron is also experiencing steady demand for lighting poles and traffic signals as road infrastructure spending continues to support our Traffic Structures business. On the Telecom side, we are seeing a modest pickup in spending by carriers, which is giving us -- giving that part of the business the lift. Turning to Wind. The recent passage of the One Big Beautiful Bill adds clarity and urgency to the near-term orders. Other inquiries with our wind turbine customers have increased, and we anticipate a period of solid demand as developers expedite activity to ensure they capture tax credits before they expire. Long term, U.S. power demand is expected to accelerate, and all sources of power generation will be required to fulfill demand. Even without tax rate support, wind has become cost competitive with other sources of generation and should play an important role in meeting low growth demands. This is an exciting time to be serving the U.S. power industry, and we believe our Engineered Structures platform is well positioned in this new environment of power growth. With relatively small capital investment, most of our plants are capable of producing large utility structures, providing us optionality if demand for transmission poles continues to accelerate. Last, for a discussion on transportation, the barge fleet continues to age, and this means replacement demand over the next 5 to 10 years will likely outpace what the industry can build. The introduction of permanent bonus depreciation should be helpful for our barge customers. While we only received $33 million in orders in the second quarter, we booked $122 million of additional orders since quarter end, filling our 2025 production plants for hopper barges and providing solid backlog visibility for both hopper and tank barges well into 2026. Inquiries for tank barges are into 2027, but we are ready to increase production if demand continues to accelerate. We will continue to be disciplined and strategic with our deployment of capital as we prioritize deleveraging while also investing in the business to drive long-term growth, both organically and via potential M&A transactions. Summing up, we're optimistic about 2025 and beyond. We have an incredible team who is executing well, and our results reflect that. Our growth businesses are operating in attractive markets with solid demand fundamentals, and we have a very strong market position. Our cyclical businesses have solid backlogs, their products are needed and with recent policy clarity, demand is picking up. Our cost is more resilient than ever before, and our goal is to continue to take steps to optimize our portfolio to reduce complexity while enhancing long-term shareholder value. With that, we're ready to take your questions. This is Gail. I'll take that. Maybe just a few comments high level on the outlook. As Antonio says in his script, we remain on track for As we mentioned in July, we were pleased with the strong double-digit volume growth and solid organic growth in the month of July. So what we're seeing when the weather is dryer, volumes are good. So that's underpinning our confidence in the back half construction outlook. So I think really, it's just a little bit of movement between outperformance in Engineered Structures and the softened first half based in the quarter. Stavola continues to be accretive to ASP, and pricing trends in the New York, New Jersey MSA are favorable. So
Operator: [Operator Instructions] We'll take our first question from Trey Grooms of Stephens.
Ethan Roberts: This is Ethan on for Trey. I wanted to talk first about the moving pieces of the updated guide range and looking ahead to the second guide on a segment basis versus the assumptions you had baked in at the beginning of the year?
Gail M. Peck: strong growth in 2025, and the guidance really reflects our increased confidence in the outlook. We've maintained the midpoint, as you know, and tightened the range. And as I think about the organic versus inorganic split, we're looking at 30% EBITDA growth for the year, still expecting 12% of that or 12% year-over-year growth on an organic basis, that's really not changed from where we were at the start of the year. So strong 12% organic growth. I'd say what has changed is now that we've finished the first 6 months of the year, and we know that our Construction business was challenged by weather that had some impact on construction for the first half of the year. We have had outperformance by Utility Structures and a little bit by barge to help compensate for that. So that really leaves the full year guide intact. What we did say in our comments is we expect the second half of construction to be high single-digit organic growth, that is where we started the year. It was just interrupted by the weather we had in the first half. of construction really due to weather.
Ethan Roberts: Right, right. And that's encouraging to hear about the pickup in activity. And quickly on the drivers of the raised Aggregates' ASP guidance, where is the outperformance there coming from relative to what you had expected at the beginning of the year?
Gail M. Peck: So on an ASP front, as you can see, we had 8% growth in the quarter, total ASP growth. That brings year-to-date growth to about a 10% increase year-over-year. So strong pricing in the first half of the year, which was above our expectations. So our raise from the mid-single digit to the high-single digit really reflects the start of the year, where we had select mid-year that we were targeting, we were able to achieve. So that improved. As you remember, our initial guide didn't have any mid-years. We did have some select mid-years. Pricing gains were really broad- high confidence on the performance in the first half. And then when you think about the back half, we'll continue to have very strong pricing momentum. I will point out first half did benefit from the strong low double-digit volume -- excuse me, price increases we had in the back half of last year. So we had some carryover impacts in the first half, but we're very positive about the pricing environment.
Operator: Our next question is from Ian Zaffino of Oppenheimer.
Isaac Arthur Sellhausen: This is Isaac Sellhausen on for Ian. I just had one on the Wind Tower business. As you noted, Wind Tower's, obviously, inquiries seem to pick up a bit, as there's a bit more uncertainty on the policy side and some urgency as, I guess, tax credits phase out. I guess, the question is maybe could you remind us on the capacity available across the Wind Tower business to receive new orders? And how you think about potentially adding orders and utilizing that capacity?
Antonio Carrillo: Sure. Absolutely. This is Antonio. So we have 4 plants that could produce wind towers. One of them we announced that we are transitioning to a transmission tower since we're seeing tremendous demand there and the backlogs are extending and that delivery times are extending. So I think that's a really positive move for our Utility Structures business, which is really, really doing very well. Our Wind Tower business is also performing very well in terms of operation and running. The 3 plants that are left for wind are operating, I would say, about 60% capacity, probably in New Mexico a little higher. So we do have capacity to increase production in the short term if our customers require it. And as you mentioned, I think that the biggest news in this quarter versus last quarter, now with policy clarity, is that our customers are very excited about the next few years for wind. And so we are excited to support the industry over the next few years. And hopefully, over the next several quarters, we have some good news about additional orders and clarity for the whole industry.
Operator: Our next question is from Garik Shmois of Loop Capital.
Garik Simha Shmois: Appreciate the increased Aggregates disclosures. I just wanted to ask on the Aggregates' gross profit per ton growth. And it is pretty impressive, but how should we think about the level of growth in the second half of the year? And then maybe just kind of big picture on gross profit per ton now that we're seeing it a little bit more clearly, is there a long-term target for that metric that you think the business can get to over time?
Gail M. Peck: Thanks for the questions. Yes, we're very pleased to enhance our disclosures within Construction Materials having done over 20 acquisitions since our start. It's taken us a little bit of time, but we're really pleased to have the enhanced disclosures. We think it helps investors a lot to really understand what we think is a high-quality platform. To your question about back half trends, we'll continue to see good gross profit per ton growth in the back half. We will benefit from another quarter that would be Q3 of inorganic contribution from Stavola, and that has been nicely accretive to our performance overall this quarter. I think it really shines. Q1 was their seasonal low, and we're really seeing the impact that the acquisition has and really validates our decision to move forward acquiring the business. As we think about on a go-forward basis, we haven't set an absolute target. What's important to us is really maintaining that growth in GP per ton. And that's really going to be a combination of our continued focus on pricing discipline and cost discipline. And we're seeing signs. Certainly, it bumps around as a lot of things do these days, but we're seeing reduction in inflationary pressures, certainly on some of the inputs, which is helpful. But it's growing that gross profit per ton that we're very focused on.
Garik Simha Shmois: Okay. That makes sense. I wanted to ask just on the balance sheet, with the leverage expected to get back down to the 2x to 2.5x range within the next 2 to 3 quarters, I was wondering if you could talk about the acquisition pipeline in particular. What you're seeing and what some of the opportunities could be as you work the leverage down post Stavola?
Antonio Carrillo: Sure. This is Antonio. And I think that's where we have continued to focus on having a full pipeline. So we never took the foot off the pedal. And we've -- as we've said before here, M&A has its own timing and sometimes things come that we don't expect, and sometimes when we want things, there's nothing available. So that's why we've kept an open mind, and we feel we have a very solid pipeline of bolt-on acquisitions, and we continue to work on them. So as we get closer to our leverage ratio, I think we would feel more comfortable in deploying capital, both organically and inorganically. As I said before, we announced the transition of one of our Wind Power facilities to Transmission Structures, that's going to be about $20 million to $25 million in capital. Most of it will be spent next year. But we are feeling more comfortable now that our balance sheet is closer to our target. And on M&A, as we get -- if we find something that really fits and we really like, we'll think about it as we get closer.
Operator: [Operator Instructions]. Our next question is from Julio Romero of Sidoti & Company.
Julio Alberto Romero: Great. You spoke about policy uncertainty fading in the wind tower business post the tax reform bill and demand picking up as a result. Can you maybe speak to how the final provisions of the bill compared to what you expected? Any details that surprised you? And then secondly, can you talk about the margin implications of those final provisions to your Wind Tower business relative to expectations?
Antonio Carrillo: Yes. So the policy thing was kind of a rollercoaster through the quarter because things -- different versions came out. I think things could always be better and things could always be worse. I think what's important here, Julio, is the clarity. I think the industry -- what the industry needs is clarity. And I mentioned in my remarks, wind is a competitive source of energy. So just having clarity allows the industry to move. And that's what we're seeing right now, and let's say, the sentiment we're getting from our customers, okay, we'll move. There is an important step that's happening in the next few weeks, which is clarity on what start of construction means for these wind projects, and that's going to be an important part in the next couple of weeks. Again, I think what we need is clarity. If you look at the pipeline of projects that are out there, I think we have a solid couple of years coming. We just need a little more clarity around what that means. But to be honest, it was a relief to at least see what we're dealing with. And the industry is not going anywhere. I think the industry is going here to stay and is going to have a solid near-term future. I would tell you there's also clarity in other areas. I mentioned, the bonus depreciation for barges. And that's, if you saw, we only sold $33 million in the second quarter. We sold -- we've already sold $122 million in the third quarter. Some of it has to do with tax -- that has tax benefits for our customers behind it. So I think the clarity -- and I think there's still things to come that we are still analyzing from the Big Beautiful Bill. So overall, clarity is important.
Gail M. Peck: Julio, I was just going to add on to Antonio's clarity comment, and that really comes to the increased confidence comment that we had. And that's really what this -- we've executed really well in the second quarter, but we have a higher level of confidence relative to where we were at the start of the year. Most notably in our cyclical businesses as we filled production slots that we needed to fill in the fourth quarter. And so when we come back to guidance and looking at the EBITDA midpoint range, seems very achievable. And we'd like to think that there is potential upside if weather cooperates, which our construction folks would surely appreciate, and we get additional tailwinds from incremental operating leverage within our manufacturing businesses. So the clarity is important, as we think about the balance of the year.
Julio Alberto Romero: Great. And then, are you guys seeing any customer-driven delays as a result of federal, state or DoT funding across the portfolio? And is there any way to parse that out from the weather delays you called out that affected you guys and everybody else in the quarter?
Antonio Carrillo: Yes, I'll take that. We are not -- I don't think we -- any of the -- of our weakness in organic had to do with delays in projects. It was really weather. It was really bad weather quarter in several of our regions. But when you sit down with our teams, and you really dig into, asking questions, well, tell me about what you see in the market, what's happening with projects. I think the biggest word I hear is, all these projects are real. So there are a lot of projects that are waiting in the pipeline to get started. And when you talk to our teams across the board in construction, but also in utility and also in wind and in barge, the word that we hear is all these projects that we're seeing are real. So I'm very excited about -- maybe they're taking a little longer to start or something, but I really perceive a very positive environment around projects -- large projects that are coming to fruition soon.
Julio Alberto Romero: Great. One more, if I could. Just on the Aggregates business, you mentioned multifamily demand is improving. Can you maybe talk about which geographies are showing that multifamily improvement?
Antonio Carrillo: Yes. There are several regions where we're seeing that. I would say probably the weakest we're seeing is in the Gulf Coast. But here in Texas, we're seeing some improvements. And in New Jersey, things have gone very, very well. I think New Jersey is probably the highlight for us across the board in the Stavola platform. So -- and then I would say Texas and New Jersey were the highlights for the quarter in that sense.
Gail M. Peck: I'd add on to that, Julio. We've seen third-party research on multifamily. The National Association of Homebuilders sees mid-single- digit growth for multifamily in 2026. So back half seems to be improving from a multifamily front. And our Specialty Materials customer sentiment seems to align with that.
Operator: Our next question is from Brent Thielman of D.A. Davidson.
Brent Edward Thielman: We appreciate the added disclosures here as well. I guess, Antonio, I kind of look across all the different businesses you have, and it seems like you're carrying a lot of momentum here, potentially into 2026 with sort of when one of the variables still trying to figure out here. And I was just doing kind of the math on the backlog conversion there. You're running about $90 million a quarter in revenue, just based upon that. I guess, my first part of the question is how much of that can carry over into 2026? And the -- I wanted to sort of delineate increase in inquiries versus when orders could ultimately come in, in any greater sense of when that could occur just to sort of shore up your next year's visibility there.
Antonio Carrillo: Sure. Let me start. As you know, construction has less visibility because for the most part, we don't have a huge backlog. We are a -- on the Aggregates side, we do have projects, especially, I would say, and contracts in the West, where we have on-premise people located that are taking Aggregates. But for the most part, we don't have a lot of long-term contracts. That said, we are seeing, especially here in Texas and the Gulf Coast and New Jersey, larger projects that we're bidding, and we have in New Jersey very strong backlog, for example, for infrastructure projects. So overall, Construction, which is less tied to large projects, we are seeing strong demand for large projects, which is -- it's a good thing. And as you said, I think we have good momentum there. Talking about the other businesses, starting -- I would say the one that I'm the most excited about is the Utility and Related structures. As I mentioned in my remarks, I think it's a great time to be serving the Power industry. When you look at every trend there, and the customer sentiment is really, really positive. And that's why we took the chance to change the facility from wind to utility because we see not only us but our competitors extending delivery times. And that's why we want to open the facility to be able to serve the industry and allow ourselves to tie to this incredible trend that we're seeing and be able to grow faster once we open the facility in the second quarter next year. It's going to take a ramp-up, but it's -- and I also mentioned we have additional capacity if we need more. On the -- so that's on the backlog. But we are very optimistic. Gail mentioned we have record backlog in Utility, but we also have customer reservations that are very strong, and that means they have not been converted from, let's say, a conceptual order to specific designs. And as that process continues, we expect our backlog to continue to perform well. On the Wind Tower side, it's just timing. I think once our customers are needing the wind towers, we just have to -- these negotiations and contracts take time, so we're working on that. I will tell you, I'm very optimistic of where we're seeing the backlog -- where we expect the backlog to look like several months from now. So positive on that. And finally, barge. I think you saw the orders in the third quarter already. Our barge line now is filled up until April of next year. The tank line is filled up until the fourth quarter of next year. We're quoting tank barges into 2027. And as I mentioned in my remarks, I think it might take a little longer. I don't know when it's going to pick, but the pent-up demand for barges is incredible. And at some point, we're going to have to increase capacity to be able to supply it. So as you said, I think across the board, very positive momentum in the company, great visibility for the second quarter -- for the second half. It's all about execution and focusing on building the backlog so that 2026 continues to be -- continue the growth of Arcosa.
Brent Edward Thielman: Okay. All right. I appreciate all that. I think, Antonio, what I was trying to get to just on the wind side is that, I know you had some carryover backlog into subsequent years and you have pretty good visibility here into the second half of the year for that business from a volume perspective. What I'm trying to figure out is how much of this sort of run rate of revenue in Wind through the second half of the year carries into 2026 before you need to get some more orders to sort of continue that through the year, if that makes sense?
Antonio Carrillo: Yes. So we have 3 plants operating. One is -- as Gail mentioned in her remarks, it has orders until 2028. The other 2 plants, we have orders until the end of '25, and we have -- right now, we're working with our customers to fill up that capacity for '26. As I mentioned, we're confident we're going to get there. I'm not worried about it. I think the clarity was important, and the timing was very important. If you had asked me a few months ago before this, there was a lot more worry. But -- I will tell you one important piece, just like Wind Towers is very important for us, it's a good business for us, we're a very important supplier for our customers. So it's a -- we have a strategic relationship with our customers that we both need each other for -- to be able to supply this industry, and I think we'll get there in the near future.
Brent Edward Thielman: Okay. One more if I could, just on Utility Structures. Obviously, there's been a push around some of your competitors in the industry to add capacity as well. And I just wanted to get a sense, especially with this latest announcement of the conversion of the wind plant to transmission. What is it that maybe has changed for you to make that decision in the market? What are you hearing from your customers that's just incrementally different, whether it's the last 6 months, last 12 months, specifically in the Utility Structures, Transmission Structures arena to decide to make that added push to add capacity there?
Antonio Carrillo: Yes. So it's a really good question. I think we've always been very bullish on this. When you look at forecast -- utility CapEx forecast for -- they've been just increasing and increasing, and the -- let's say, the trend continues not only to be very positive, but every day, it's more positive. We're also seeing faster response time from our customers in terms of their getting permits to be able to build the lines. And I would tell you, the other thing that's changing that's very interesting is the poles are getting bigger. And as you get into bigger poles, that's our sweet spot. That's where our cost really, really shines and that's where the flexibility we have in our manufacturing really is unique because the wind towers are enormous, and they're very well set up for building utility poles -- large utility poles. So as utilities move towards large -- when you look at announcements, it's mainly very large pole lines. And that's what we really like to build, and our plants are really well set up for that. So I think the trends are in our favor.
Gail M. Peck: And I think, Brent, just to add on, as it relates to the conversion we're doing, I mean, we're converting an idle plant that has a little bit of a drag on our P&L because it's idled. We're converting that into utility structures, which are seeing strong growth at a relatively small dollar ticket of $20 million to $25 million, as Antonio said. You compare that to the nice returns we're getting on the New Mexico wind tower facility, that was a $55 million investment. So we're able to deploy some capital and have that operational by the second half of '26 and fully ramped sometime not too far down in the future. So that -- I think that puts us in a very unique position.
Operator: And there are no further questions at this time. I'd be happy to return the conference to Erin Drabek for closing comments.
Erin Drabek: Thank you again for joining us today. We appreciate your questions and your interest in Arcosa. Please reach out if you have any follow-up questions.
Operator: This does conclude today's conference. You may now disconnect your lines, and everyone, have a great day.